Operator: Hello and welcome to the Universal Logistics Holdings Second Quarter 2022 Earnings Conference Call. At this time, all participants are in a listen-only mode.  A brief question-and-answer session will follow the formal presentation. During the course of this call management may make forward-looking statements based on their best view of the business as seen today. Statements that are forward-looking relate to Universal business, objectives or expectations and can be identified by the use of the words such as believe, expect, anticipate and project. Such statements are subject to risks and uncertainties and actual results could differ materially from those expectations. As a reminder, this conference is being recorded. It is now my pleasure to introduce your host Mr. Tim Phillips, Chief Executive Officer; Mr. Jude Beres, Chief Financial Officer and Mr. Steven Fitzpatrick, Vice President of Finance and Investor Relations. Thank you. Mr. Phillips, you may begin.
Tim Phillips : Well, thank you, Chad. Good morning, and thank you for joining Universal Logistics Holdings Second Quarter Earnings Call. Before we get into the details, I want to express my gratitude for all of our hard working Universal associates. I'm extremely pleased to see the exceptional level of service with an emphasis on continuous improvement. Our leadership team has worked tirelessly to on-board new talent and shape a results-oriented work environment. While we've had a good success staffing our new and existing operations, overall industry appeal remains a challenge. With so much uncertainty draped around the economy Universal remain focused on continuous improvement and execution to drive customer satisfaction and shareholder value. Still, our operating environment remains less fluid than we would like. Part shortages, ports â and port congestion among other periodic supply chain constraints have kept us from hitting our full stride. Now due to the re-instituted AB5 law in California, we will have to take on a new set of challenges on the labor front. However, AB5 is nothing new, we have been evaluating the potential impact for several years now and have a multifaceted plan that allows for us to make a smooth transition of the current owner operators in a seamless fashion to our customers and our potential to grow in the marketplace. We have the know-how, we have the equipment to be successful and we are on a trajectory to make things happen. While there is still some heavy lifting to do, Iâm optimistic that we will navigate these challenges and set course for the second half of 2022. Universal will continue to prove to be a leader in the transportation and logistics space. Now for the quarter. In yesterday's release Universal reported second quarter earnings of $1.69 per share and total operating revenue of $527.2 million. Our reported second quarter performance reflects not only record results for a second quarter, they represent Universal's highest operating margin and earnings per share in company history. We once again set new all-time highs and surpassed the record performance set just one quarter ago. We have successfully built on our first quarter and are reshaping the organization to meet these exceptions -- these expectations on a consistent basis. While I expect to see a normalization of transportation rates in the future, I believe our contract logistics group is well positioned to grow in 2022 and beyond. Now  some color on each of the service lines. In our contract logistics segment, some of our auto and truck customers continue to chase consistent production. Those that have had level of consistency have found it hard to stretch their legs for a six day of production. Demand remained strong for our non-automotive customers with less obvious parts disruption. All indications show continued demand for autos, light utility and Class 8 trucks. Light truck and Class 8 production forecast are solid for the back half of 2022 for the plants that we serve. Even with the  (ph) tracking at a lower level than it was at the first part of the year. I'm very comfortable with Universal's labor and asset position in most of the markets we serve. The contract logistics group has worked extremely close with a major automotive customer here in Detroit on a recently launched piece of business, and have successfully worked together to reshape the contract, while rationalizing the operations -- while rationalizing the operations as the operations continues to evolve. In fact, June was the first month of operating profitability since the plan is ramped up to three shifts of production. While the plant stretches for full production, we will look at continued internal improvements and expect this large facility to be margin contributor to the company's bottom line. We continuously look for diversification opportunities in our contract logistics business. And Iâm excited to report on a few successes. We have recently began work with a large appliance provider with a goal of enhancing their operational flow of efficiencies and in July successfully launched a new program award for an aerospace customer in the Southwest. Our dedicated transportation group hit full stride in the second quarter with the recently launched and fully staffed operation servicing a large automotive customer. Additionally, the group continue to add additional capacity with various existing customer accounts. Looking forward, I'm very excited about recently launched dedicated transportation operation in Mexico that will allow us to service new and existing customers. We recently ramped up a small award from a major OEM, but I'm very excited about the operations future prospects. We continue to see solid opportunity in the contract logistics space. Our pipeline of near-term opportunity remains robust and our position in this space continues to grow. We believe we are in the -- we are front-runner on several value-added opportunities that will fuel Universal's growth into 2023. Our Intermodal Drayage Group continues to experience choppy volumes in flow. Year-over-year volumes have declined because of congestion, chassis availability, length of haul and independent contractor availability. Top-line revenue remain consistent with Q1 as pricing continue to remain favorable. We continue to see heightened assessorial charges, such as demurrage, storage and per diem, which totaled $33.6 million in the second quarter of 2022. Assessorial remain in line with congested network and strange chassis availability. We continue to work on buying chassis to add to our current fleet of 2,500. In addition to  (ph) rates, our continued improvement initiatives have led to a 47.2% year-over-year revenue increase. Load counts remain a major focus as we continue to recruit capacity to handle the demand and navigate a congested port and rail environment. Our pipeline of independent contractors and drivers continue to growth, suggesting a softening in the truckload spot market and a return for those individuals who chose to obtain their own authority. I believe there is great opportunity to expand our independent contractor and driver count in the coming months and I'm encouraged by our sales pipeline and customer conversations on the continued need for capacity. In our Trucking segment, you're going to continue to see some noise in load count as trucks from the legacy company run truckload operation have been deployed into our dedicated and intermodal division. We are more than comfortable leveraging our variable structured, agent based business in this segment and we continue to see the entrepreneurial spirit of our agent shine. While then spot opportunities have decline, specialized and flatbed rates have held or increased, even remain elevated and was 6.8%, which was a result of a 43.4% increase in revenue per load. All indications point to a favorable second half of 2022. Our profile within the truckload market is well positioned to continue to capitalize on the flatbed and specialized opportunities, while remaining consistent on our contractual van work. As mentioned, we see our opportunities in the flatbed and wind sector remaining stable. And with 63% of our capacity pulling flatbed, we feel good about the second half of 2022. The current economic landscape and uncertainty will surely set the table for small fleet agent conversions and a return of the independent contractors who has obtained their own authority. We have continued to expand our business development group to gain better contiguous US coverage as we canvas for new agent opportunities. We are very pleased to have brought on 20 new agents in the second quarter and our pipeline remains full of future of opportunity. Our company managed brokerage operation experienced the best operating margin in the history of the company. We've continued to rationalize our margin profile in relation with the revenue opportunities, margin opportunities accelerated out at the end of the first quarter into the first part, the second quarter. While our contractual work continues to remain strong, our spot market opportunities have decelerated along with the rates. Operating revenue per load increased 6.8% to $2,006 per load, although the number of loads hauled was down 26.8%, we remain pleased with our pricing discipline and capacity utilization in a softening spot market. We remain focused on expanding our customer base to diversify the portfolio, while keeping a sharp eye on margin. There are many uncertainties facing transportation and logistics space in the second half of 2022. We're keeping a close eye on the West Coast ILWU negotiations, rail worker contract talks, as well as inflation in customer inventories. Our labor market continues to challenge this space with availability of labor and labor unrest. The supply of equipment is improving and we are confident we have the deliveries to fill our growth and/or replacement needs. While tensions are high in California, we view this as an opportunity to reshape our model and provide excellent jobs, which will ultimately drive customer satisfaction. We will continue to improve Universal's operating model by rationalizing customers, refining processes and leveraging talent. Finally, our success as a company isn't attributed to just one person, but a team of collaborated hardworking associates. The Universal team remains resilient and open to change, capitalizing on the best practices to deliver superior customer service. I appreciate the efforts of all of the Universal's associated and thank them for the great results and best margin performance in the history of the company. I'm extremely optimistic that we will continue to drive the momentum of the first two quarters of â22 and find additional opportunities in the second half of 2022. With that said, I will now like to turn the call over to Jude. Jude?
Jude Beres: Thanks, Tim. Good morning everyone. Universal Logistics Holdings reported consolidated net income of $44.7 million or $1.69 per share, on total operating revenues of $527.2 million. This compares to net income of $25.6 million or $0.95 per share on total operating revenues of $428 million in the second quarter of 2021. Consolidated income from operations was $64.7 million dollars for the quarter, compared to $31.3 million one year earlier. EBITDA increased $37.2 million to $90.9 million, which compares to $53.7 million during the same period last year. Our operating margin and EBITDA margin for the second quarter of 2022 are 12.3% and 17.2% of total operating revenues. These metrics compared to 7.4% and 12% respectively in the second quarter of 2021. Looking at our segment performance for the second quarter of 2022. In our contract logistics segment, which includes our value add and dedicated transportation businesses, income from operations increased $13.5 million to $29.4 million on $207.3 million of total operating revenues. This compares to operating income of $15.9 million on $154.8 million of total operating revenue in the second quarter of 2021. Operating margins for the quarter were 14.2% versus 10.3% last year. In our Intermodal segment, operating revenues increased $50.3 million to $156.9 million compared to $106.6 million in the same period last year. And income from operations increased $15.2 million to $21.4 million. This compares to operating income of $6.2 million in the second quarter of 2021. Operating margins for the quarter were 13.6% versus 5.8% last year. In our Trucking segment, operating revenues for the quarter increased 6.8% to $106.5 million compared to $99.8 million in the same quarter last year, while income from operations increased $3.1 million to $9.6 million. This compares to operating income of $6.5 million in the second quarter of 2021. Operating margins for the quarter were 9% versus 6.5% last year. In our company managed brokerage segment operating revenues for the quarter decreased $5.3 million to $55.1 million compared to $60.4 million in the same quarter last year, while income from operations increased $1.7 million to $4.2 million. This compares to operating income of $2.4 million in the second quarter of 2021. Operating margins for the quarter were 7.5% versus 4.5% -- I'm sorry, 4% last year. In our balance sheet we held cash and cash equivalents totaling $14.7 million and $8.2 million of marketable securities. Outstanding interest-bearing debt net of $2 million of debt issuance costs totaled $415.3 million at the end of the period. Excluding lease liabilities related to ASC 842, our net interest bearing debt to reported trailing 12-month EBITDA was 1.73 times. Capital expenditures for the quarter totaled $31.5 million and $37.5 million year-to-date. For the full year, we are expecting capital expenditures to be in the $120 million range and interest expense between $15 million and $18 million. Based on the current operating environment for the third quarter, we are expecting top line revenues to come in between $500 million and $525 million with operating margins in the 10% to 12% range. For the full year we are updating our margin guidance as well. We expect total operating revenues to come in between $1.9 billion and $2.1 billion with operating margins in the 10% to 12% range as well. As mentioned in the release, through the end of the quarter Universal acquired 229,488 shares of its common stock in open market purchases at an average price of $19.41per share, and an additional 164,189 shares in a modified Dutch auction at $28 per share. Year-to-date ULH has acquired 650,938 shares of its common stock and remains authorized to purchase an additional 513,251 shares. Finally, Wednesday our Board of Directors declared Universal's 10.5 cent per share regular quarterly dividend. This quarter's dividend is payable to shareholders of record at the close of business on September 5, 2022 and is expected to be paid on October 3rd of 2022. With that, Chad, we are ready to take some questions.
Operator: Thank you. We will now begin the question-and-answer session.  The first question today will be from Bruce Chan from Stifel. Please go ahead.
Bruce Chan: Hi, everyone. Another nice print for you here. So congratulations.
Tim Phillips: Thanks, Bruce.
Bruce Chan: Tim, maybe just a point of clarification to start. You talked about that rationalized site in contract logistics, was that the same one that was generating the big loss earlier this year? And then any others that are still underwater, are you back kind of above water on the whole portfolio?
Tim Phillips: Yeah. To question one, yes, it's the same one we have been referencing in working diligently with the customer to get it to where it's at now. We feel comfortable, we feel comfortable that there is some additional -- there is some additional efficiencies that we can layer into the operation to continue to gain strength there. And as far as the rest of the portfolio, and now it's operating well. We've done an excellent job and I opened up with that continuous improvement comment. That's -- one of our big initiatives is to roll through places that -- even our operating well and look for those nuts and bolts that we can go forward with an operate it even more efficiently.
Bruce Chan: Okay, great. That's good news. And then maybe just a follow-up. I know these past few years have been pretty unique in terms of their impact on that contract logistics business, but maybe you can just talk about how it generally performs in a more, call it, normal economic cycle or down cycle? And I think you mentioned that you felt confident in earnings for that business into 2023, what sort of macro assumptions does that comment kind of contemplates?
Tim Phillips: Yeah. I think that in reviewing what our contracts look like, I'm very comfortable with what we worked really hard on over the last six to eight months on contract renegotiations and pricing. I can't give you an exact look at what the economy looks like next year, but I think, overall, we're pretty insulated. We're operating at a really good level now and the SAAR is only at -- right around 13,000. So I think we position this very well in the contract logistics space. I think we've taken a look at not only how we operate from a continuous improvement, we also from a rationale on contracts, we want to make sure that we're working in a fixed variable environment and we're covering some of our costs and not working in totally in a variable environment. And I think that combination helps us and supports us in making those statements that we feel really comfortable going into 2023. And I still think on our core competency in automotive, I still think there's a lot of pent-up consumer demand that we feel comfortable with.
Bruce Chan: That's great. And then just a last question here on AB5, you gave some good detail there already. Any thoughts on what impact that might have on your segment OR as you start to maybe convert some of that California business? And then maybe you can also comment on how some of these work stoppages and protests and strikes might affect volumes next quarter?
Tim Phillips: Yes. Let's start with the first part first and its current news. The work stoppage in LA didn't -- did not or the protest did not do anything to workflow in and out of the ports. It's a much harder environment to get to shut down the whole complex. Oklahoma is a little more successful with the shutdown because of the order in there and how you access the port. So what that did and what you read in the news puts us behind a couple of days to a week, but there is not going to be any canceled shipments per se as a result of that, everybody has to experience the same thing. So what it will do? It will put a little stress on our operations to backfill and to push up some of those orders into the customers' facilities in a quicker fashion. So I'm not looking for any -- I'm not looking for any revenue loss on that. And then, your question on AB5 and the OR assumptions. We've looked at it at a high level, the way we're going to approach this, long-term Universal wants to be company trucks and company drivers in California. As we transition into that we'll have a bridge, there could be a little bit of escalation of costs, but we're not going to call it too serious. I can't give you exact percentage because there is some fluidity to the environment, but I'm going to say that, that our margins will remain consistent to elevated maybe a couple of percent by the cost that's associated with the transition.
Bruce Chan: Okay. That's helpful. Thanks and congrats again.
Tim Phillips: Thanks you, Bruce.
Jude Beres: Thanks, Bruce.
Operator:  Ladies and gentlemen, this concludes our question-and-answer session. I would like to turn the conference back over to Tim Phillips for any closing remarks.
Tim Phillips: Thanks, Chad. Well, first off, I want to thank again all our employees, our agents, our independent contractors for doing such a superb job at operating in servicing our customers. Secondly, I'd like to thank everybody that supports the company from a shareholder perspective and of course, everybody the dialed into the call to listen to Universal and how we think we as a company pointed in a positive direction moving forward. With that being said, we look forward to talking to you again next quarter. Thank you.
Operator: Thank you, sir. The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.